Operator: Greetings, ladies and gentlemen, and welcome to the Staffing 360 Solutions' First Quarter 2018 Earnings Conference Call. [Operator Instructions]. As a reminder, this conference is being recorded. This conference call will contain forward-looking statements within the meaning of the U.S. federal securities laws concerning Staffing 360 Solutions, Inc. The forward-looking statements are subject to a number of significant risks and uncertainties, and our actual results may differ materially. Please refer to the company's filings with the SEC, which contain and identify important risks and other factors that may cause Staffing 360's actual results to defer from those contained in our forward-looking statements. All forward-looking statements are made as of today May 14, 2018, and Staffing 360 expressly disclaims any obligations to revise or update any forward-looking statement after the date of this conference call. During these prepared comments, Staffing 360 may make reference to certain non-GAAP measurements, such as adjusted EBITDA, where applicable Staffing 360 has provided reconciliation for these non-GAAP measures to the most directly comparable GAAP measure. It is now my pleasure to introduce Brendan Flood, Chairman and Chief Executive Officer of Staffing 360 Solutions. Mr. Flood, you may begin.
Brendan Flood: Thank you, operator, and thank you to everyone who has joined us for Staffing 360's Fiscal First Quarter 2018 Earnings Conference Call. I'm joined today by David Faiman, our Chief Financial Officer. I want to bring to your attention that a webcast and replay of this conference call is available by following the link contained in the bottom of the press release announcing this call, and that this will also be available on Staffing 360's website www.staffing360solutions.com. Now with that said, I'll start my remarks with an overview of our financial and operational first quarter 2018 performance, recent business developments and our strategy going forward. Then I'll hand the call over to David Faiman to discuss our financial statements for the quarter before opening the line for questions. While Q1 is typically our weakest quarter of the year due to seasonality and weather factors, during the first quarter of 2018, due to the execution of our business plan, we were able to achieve substantial growth in revenues and gross profits of 37% and 58%, respectively, over the same quarter of 2017. Specifically, our Q1 revenue was $55.8 million and gross profit was $11.6 million. Both of these were record numbers for us. Gross margin at 20.8% was also a new high point. Adjusted EBITDA of $1.6 million showed a 57% increase over the same period of last year. Q1 2018 is the first quarter in which we have managed the business under our new alignment of Commercial Staffing U.S., Professional Staffing U.S. and Professional Staffing U.K. For the first quarter, the breakdown of gross profit delivered across the business streams was 36% in Professional Staffing U.S. and 32% in each of the other two streams. So pretty well balanced across the three streams. The poor weather, mostly in northeastern United States, impacted our Commercial Staffing business, and we noticed a 5% decrease in revenue for this segment, while Professional Staffing U.S. and Professional Staffing U.K. grew by 25% and 199%, respectively. The management realignment exercise that we kicked off at the beginning of the year has been embraced by all of the subsidiary management teams, and our management teams are working very effectively together. Early indications for Q2 are showing the same levels of revenue and gross profit improvement year-over-year. During the first quarter, we hired an additional 15 revenue-generating employees, who will have an impact on the remainder of the year, and we continue to sign new clients and to reengage with former clients. I'll look forward to talking about these further in the next few quarters. We have continued to talk to possible M&A targets and maintain our view that quality of businesses available in the market is very high. I will now hand the call over to David Faiman, our Chief Financial Officer for the financials. Dave?
David Faiman: Thank you, Brendan, and good morning, everyone. For the first quarter of 2018, revenue was $55.8 million, with an increase of 37% over the prior year first quarter of $40.7 million. Revenue included $17.9 million from the acquisition of CBS Butler and firstPRO that we closed in September 2017 and $0.8 million comparable foreign currency translation. This is partially offset by a decline of $3.6 million driven by our exit of low-margin revenue in 2017 and a higher number of weather-related stoppages for our northeast clients in Q1 2018 versus 2017. Revenue during the quarter was comprised of $53 million of temporary contract revenue and $2.8 million of permanent placement revenue, compared against $39.9 million and $0.8 million of temporary and permanent placement revenue in Q1 2017, respectively. The temporary contract revenue in Q1 2018 is now $4,077 per week, up from $3,131 per week in the prior year first quarter. Gross profit for the first quarter of 2018 of $11.6 million was increase of $7.3 million or 58% over the prior year. Stronger margins in the commercial segment, higher margin revenue from the 2 acquisitions, higher permanent placement revenue and continued lower workers' compensation cost were all contributing factors. This is -- has the impact of driving gross margin to 20.8% versus 18% over the prior year, a 280 basis point improvement. Operating expenses were $12 million or $4.1 million higher versus the prior year. Of this increase, over 90% or $3.7 million of that $4.1 million increase stem from the 2 acquisitions, while the remainder, approximately $500,000, is attributable to higher commissions and the higher gross profit. Other expenses for Q1 2018 was $0.7 million, a decrease of 71.7% from $2.5 million in Q1 of 2017. The decrease is mainly driven by a loss and extinguishment of convertible notes in Q1 of 2017, coupled with gains in Q1 of 2018 from fair value in warrants and remeasuring the company's intercompany note. These are partially offset by higher interest on the higher debt. This performance translated into a loss from operations of $0.4 million and net loss of $1.3 million compared to a loss from operations of $0.6 million and a net loss of $3.1 million in the prior year. Adding back the noncash adjustments and nonrecurring cash cost, adjusted EBITDA grew to $1.6 million from $1 million in the prior year first quarter, a 57% improvement. Finally, including the two acquisitions on a pro forma basis as if they had been owned for the entire year, our trailing 12 months adjusted EBITDA was $10.3 million. Turning to the balance sheet. As previously noted, the transactions we've completed during 2017 and early 2018 have strengthened our financial position. In February of 2018, we completed the refinancing of our U.K. borrowing facilities, restructuring them into a factoring arrangement, whereby 90% of the soul receivables are funded upfront with the remaining 10% collected later. This has two accounting impacts, first, on the balance sheet, sold accounts receivable are no longer carried on the balance sheet and historical secured borrowing lines is also removed; the second accounting impact is to the cash flow statement, where the deferred 10% portion is treated as an investing cash flow instead of operating cash flow. As a result, we reported an unusually high operating cash flow in Q1 of 2018 of $8.8 million for the quarter, with an additional $1.3 million of collections reported in investing cash flows. The net of these movements, along with net cash and our secured borrowing lines was $400,000 compared against the net use of $1.1 million. Operator, at this point, we're holding the call back over for Q&A session.
Operator: [Operator Instructions]. Our first question is from William Gregozeski with Greenridge Global.
William Gregozeski: With regards to the acquired revenue, what was the growth assuming you owned that -- just those two acquired businesses last year? What was that organic growth of those businesses?
Brendan Flood: Just the two businesses? They were flat Q1-to-Q1.
William Gregozeski: Okay. And the press release says that there was the partially offset from the getting now to the low-margin business. If that was gone last year, why is that still account for this year?
Brendan Flood: Well, remember that we're raising not throughout the year. So in Q1 versus Q1 of last year, there is a sort of cumulative impact in Q1 of this year, relative to Q1 of this year.
William Gregozeski: Okay. So just because you were still exiting out through the rest of the last year?
Brendan Flood: Correct.
William Gregozeski: Well, just to confirm again, that's done with, going forward?
Brendan Flood: Correct.
William Gregozeski: Okay. And then was there any plan -- sorry, go ahead.
Brendan Flood: Well, I was just going to add, just reiterate -- this is Brendan, one comment I made on the last call, is that we are not against lower-margin business in and of itself as along as the execution cost of that business allows the EBITDA margin to improve. So there are a number of reasons why we would get rid of a particular contract. And that specific contract was a low-margin business that was only ever going to trend to be a significantly lower-margin business.
William Gregozeski: Okay. And then did you guys get your plan for the NASDAQ listing requirements approved?
Brendan Flood: So we're working on it. It is due on the 18. We fully expect to file it. We fully expect to have a full and detailed plan. And then we'll hand ourselves over to NASDAQ to continue the conversation with them.
William Gregozeski: Okay. And then last question is, when do you think the 10-Q will be filed?
David Faiman: Later today. We just wanted to get the call done, and it will be filed in a couple of hours.
Operator: Our next question is from Michael Shaw with Wells Fargo.
Michael Shaw: I just had a quick question regarding some of the stuff -- it builds off of a builds question. It has to do with how the old business is versus the new business is? So you said the revenue is roughly flat and I was curious about the breakdown on the EBITDA between the 2 because from what I see it, a year ago, the adjusted EBITDA was about $1 million for the existing businesses and $1.2 million for the new businesses, and I was wondering how that broke down this year.
David Faiman: So we don't -- it gets harder and harder as you go down the P&L to split out the profitability below gross profit as we try to merge back offices and those things together. So I don't really have a split out that I'd be comfortable quoting between the acquired companies and the legacy company on a profitability basis.
Operator: [Operator Instructions]. We have another follow-up question from Michael Shaw with Wells Fargo.
Michael Shaw: Yes, I think I got cut off. So I mean, am I right in thinking that last year the adjusted EBITDA was about $2.2 million, this year, it's about $1.6 million?
Brendan Flood: $2.2 million. For what, on a pro forma basis?
Michael Shaw: Yes.
Brendan Flood: Yes, that's probably pretty close, given that we were doing -- or may be close to the $2 million as I think about it. So if we were saying that we're doing about $10 million to $11 million plus on a pro forma basis as if we owned it, it's probably closer to $2 million, but we did have some difficulty in the U.S. with the weather. It was pretty rough winter for us. So that's unfortunately closed.
Operator: Our next question is from Michael Strub [ph], Private Investor.
Unidentified Analyst: My question is really relatively simple, and people don't usually ask these kind of questions, and I'm not sure why not. As just an individual, I don't understand, a lot of times these things that you report sound really positive to me as far as I can understand them. And then, obviously, the stock price never changes. And I just don't understand why and I'm not sure if my exit strategy will ever be with this company. I didn't know if anybody had an opinion about that or is that just not a smart question. I'm sorry.
Brendan Flood: Michael, thanks for the questions. This is Brendan. I don't [indiscernible] for a moment that it's a very smart question, and that's a question that we get asked on a regular basis. So I do agree that the message that we give is generally very positive. And as we acquire more things, it gives us a greater opportunity to remove the duplicate of cost that we have across various businesses. It allows us to drive a greater degree of conversion of our gross profit into EBITDA. We have had some issues in terms of the amount of accounting charges that we've had as we've restructured some of our historical debt and moved away -- moved our business away from having maybe 15 different lenders to what is now effectively a single lender. So we are very confident, and I say that with a measured approach that we continue to do what we're doing. And at a certain point, the stock market will catch up with us and will give credit and bring us back into alignment with our peer group in the staffing sector.
Operator: Ladies and gentlemen, we have reached the end of our question-and-answer session. I would like to turn the call back over to management for closing remarks.
Brendan Flood: Okay. Thank you, Operator. So as we continue to drive improvements in our operational performance, to drive organic growth and to deliver on our promises, we will expand our messaging to the capital markets about our performance and opportunities and the expectations that our stock price will start to move to an acceptable and normal level in relation to our industry peers. As a management team, we remain committed to growth in revenue, to growth in earnings and to growth in shareholder value. Thank you all, and we look forward to speaking with you again in mid-August when we report our second quarter and first half 2018 results. Operator, that is the end of our call.